Operator: Good morning, and welcome to the Genel Energy plc Investor Presentation. [Operator Instructions] The company may not be in a position to answer every question received during the meeting itself. However, the company can review all questions submitted today and publish responses where it's appropriate to do so. Before we begin, I'd like to submit the following poll. And I now like to hand you over to Paul Weir, CEO. Good morning, sir.
Paul Weir: Thank you, and good morning, everybody. My name is Paul Weir, I'm the CEO of Genel Energy; and I'm joined today by our CFO, Mr. Luke Clements. Welcome to our half year 2024 presentation. I'm going to walk you through a very short presentation outlining where the business is today and what we will be focused on in the coming months. As we get through the short pack, you can submit questions or you can submit questions at the end, and Luke and I will do our best to answer as many of the questions that we can. This first slide is very similar to the slide that we started with in our full year results presentation earlier in the year. Some of the numbers have changed for the better, I'm pleased to say. The left-hand box illustrates the strong resilient platform that we have established over the past year by shedding unprofitable assets and reducing costs significantly, a platform we maintain by being determined to exercise financial discipline and only being prepared to invest where we are confident that we'll see appropriate returns on that investment. The Tawke PSC remains the cornerstone of our business with consistent reliable production. It's operated by our friends at DNO at a very low cost and has delivered material cash generation in the first half of the year. In this new and hopefully short-lived reality where sales are being limited to the local market at around $35 a barrel, that cash generation has more than covered our cash outflows in the first half of the year. So we have a strong balance sheet with a significant cash balance and a net cash position of over $120 million. The three boxes to the right show what lies ahead and where our focus is to move the business forward. We continue to pursue the resumption of exports and access to international prices that will materially improve revenue and, in turn, support further investment in the Tawke asset and consequently support continued strong production performance. We continue to look for new accretive production assets to diversify geographically, to diversify our cash generation, to build our portfolio and to deliver production upside. And finally, of course, we have been focused on the arbitration, which has commenced by the KRG in 2021. Since when, we have taken the necessary action to protect shareholder value. This presentation will now provide a little color on each of these 4 subjects. During our results presentation in March, we guided that we would be cash flow neutral this year with an expectation at the first half of the year, we'd see a small outflow as some nonrecurring expense went down; and then the second half of the year, we'd see a modest build in the cash position. Well, we've done a little better than that in the first half of the year with our cash balance now is $7 million higher than it was at the start of the year, standing at $370 million, with an expectation that we will indeed see that further increase in the second half. So we maintain the view that net cash will be well over $100 million throughout 2024. Our nominal debt is unchanged at $248 million. But with a low net interest cost on that debt of around 4% or so, this is low-cost cash that has continued to provide optionality to the business in the first half of 2024. During this time, the domestic sales situation has become better established. We have reshaped the organization and mitigated some liability risk. Our bond debt is now only 14 months away from maturity. As you would expect, we continually assess the appropriate levels of cash and debt that the business needs to pursue its key strategic aims. And today, we have announced a tender to buy back some of our bond debt, and we aim to reduce the level of debt by at least $25 million in the next couple of weeks. Our cash continues to support our pursuit of M&A opportunities, and that measured and careful search for new assets continues. We've spoken to you regularly about the type of deal that we are trying to secure, and we'll cover the key characteristics of the opportunities we're searching for again later in the pack. Tawke is our cornerstone asset comprising the Tawke and Peshkabir fields. It's a truly world-class asset. It's very much priced. The Tawke field passed the 350 million barrel production milestone in the period, and its consistency and predictability are well established. Peshkabir field continues to improve, and we saw reserves added through the CPR process earlier this year. We see around 300 million barrels still to come from this license, 25% of which is Genel's. That's around 75 million barrels. So there's a very significant value still in the ground. Both fields are very low cost with a per-barrel cost of around $2, and the cost of capacity is such that we can efficiently ramp up activity when the circumstances are right. Given that we're currently obliged to sell to the local market at a heavy discount, we have not drilled any wells in the first half of this year, but good work has been done by the operator to maintain production at levels that meet our needs. And as the exports issue unfolds, we will continue to review the situation with the operator, DNO, to ensure that we are taking the right decisions and making the right investment decisions that best serve our shareholders. On this next slide, you can see that the level of demand, local demand has been fairly consistent since the start of the year, and that's around 80,000 barrels a day on average in the second quarter. This is higher than our original expectation for the year, and we hope it will continue. Initially, there was a tender process to determine pricing, but pricing has now negotiated. And we've seen an improvement in price from just over $30 a barrel at the start of the year to a fairly consistent $37 a barrel in the past few months. As you may be aware, there have been 8 government-licensed buyers since the end of last year, have competed for our oil. These buyers have been reliable, they've paid upfront by bank transfer and then collected oil for refining in Kurdistan. And as I just mentioned, this chart shows that prices improved in the last quarter, which is good news. So the combination of positive demand, improving pricing and positive working capital has resulted in Tawke PSC generating more than $40 million of free cash flow in the period, which is higher than our expectation at the start of the year. That free cash flow has been more than enough to cover our costs. And as you can see, some of those first half costs that we knew would fall away as the year progressed, costs like arbitration, Sarta relinquishment and certain payables, will not remain in the second half of the year. It's obvious and I've said already that free cash flow generation would benefit enormously from the pipeline reopening. And the exports and consistent payment would not only provide access to international prices, but would also create a situation that will allow an increase in investment and maximization of production from the Tawke license. When exporting internationally, entitlement from that license can generate over $100 million of free cash flow per annum for Genel. So far, sadly, we see little progress regarding the resumption of exports, but there have been recent intergovernmental talks and tripartite meetings, which at least demonstrate that there is willingness in all sites to invest time to try and unlock the impasse and that suggest that a negotiated solution can be found. Unfortunately, at this stage, there's not much more I can say in terms of predicting when the issue might be resolved. All I can say with certainty is that Genel remains fully committed to working with the regional and federal governments to try and find a solution that treats all parties fairly. We take comfort from the fact that both the KRG and the Federal Government of Iraq have reiterated their intention to respect the contractual rights and commercial terms of the Kurdistan PSCs. We see no reason why resumption of fuel production should not be quick once the political challenges have been resolved. Our search for value-accretive acquisition opportunities continues. We're looking for cash-generative production. We're looking for opportunities that have upside and that we can develop further. It's important for us that we diversify geographically too and reduce reliance on any one particular operating locale. Such a change would certainly reinvigorate our portfolio, but of course, the entire M&A effort is aimed towards the eventual reintroduction of a resilient and sustainable dividend program and providing value for shareholders. We all know that good deals are hard to find, and we are patient. We're still seeing sufficient opportunities in suitable geographies and with characteristics that suit Genel's technical operation and commercial capabilities to believe that we will be successful and will find the right deal to move the business in a new direction. There isn't a great deal I can see in arbitration other than to repeat what we told you before. As a reminder, we invested $1.4 billion in these licenses, which were terminated by the KRG in 2021. The KRG then filed an arbitration claim against the Genel subsidiary, Genel Energy Miran Bina Bawi Limited, seeking a declaration that the KRG had the right to terminate both licenses. Consequently, that subsidiary was left with no choice but to defend shareholder value and file a counterclaim that the KRG, to begin with, did not have the right to terminate and had committed repudiatory breach and, therefore, owed the company compensation for its losses. Being confidential, we can't provide further details in the case, but most recently, the arbitration evidentiary hearing has concluded. That came to an end at the end of Q1, and then final written submissions and replies were provided to the tribunal in May and June of this year. The arbitration tribunal is currently considering what it's heard and read, and we expect to hear the decision of the tribunal by the end of the year. Moving on to Somaliland where we see exciting exploration potential and where a discovery could be transformational both for our business and for Somaliland itself. As a reminder, the civil engineering work completed in late 2023, focused on the well site and access road and was an important milestone for the project, that civil engineering work has concluded in a manner that allows us to pause operational activity in the field. We have mentioned earlier in the year that a license extension has been granted by the host government. Our in-country team remains fully committed to our marvelous CSR effort, which provides mobile medical unit care to a community that's much in need of such support. The mobile medical units have seen more than 20,000 patients so far this year, and we are delighted to announce that we've extended that initiative further as part of our commitment to Somaliland. Our teams in Somaliland and London continue to undertake preparatory work in order to maximize the chances of success on this exciting project. We continue to pay very close attention to the geopolitical and security situation in and around Somaliland, especially with presidential elections scheduled towards the end of this year. So in closing, here's our outlook and our focus on the road ahead. We continue our effort to build the business with resilient, diversified cash flows. Tawke is the cornerstone of a resilient base that we have established and shall maintain. It generates significant cash flow, and we will continue to work with the operator to optimize that cash generation while, at the same time, ensuring our cost base and capability are appropriate for the company to achieve its key objectives. We will continue to work relentlessly and creatively with our peers and our host government to push for a deal that will allow Kurdistan exports to resume. We aim to diversify our asset base, and we will, of course, continue to develop and mature acquisition opportunities to add the right value-accretive assets to our portfolio. And finally, we await the outcome of the arbitration to see what impact that has on the future of the business. I hope you can see that much has been done to consolidate the business. We are far from content with the current situation, but we have a resilient platform, and we'll maintain our discipline and keep our energy focused on delivery of value for our shareholders. So thank you very much. We're now going to look at the questions that have come in, and Luke and I will do our best to answer those.
Operator: [Operator Instructions] Just while the company takes a few moments to review those questions submitted today, I'd like to remind you that a recording of this presentation, along with a copy of the slides and the published Q&A, can be accessed via your investor dashboard. As you can see, we have received a number of questions throughout today's presentation. May I please ask you to read out the questions and give responses where appropriate to do so, and I'll pick up from you at the end.
Luke Clements: Thank you very much. We've had a few questions, and I kind of grouped them into three themes. So let's start with the first thing, which is Kurdistan. Paul, I think simplest to ask, what is now stopping exports from restarting in Kurdistan?
Paul Weir: Okay. Well, the regional government in Kurdistan and the federal government in Baghdad have yet to agree terms on how Kurdistan oil will be paid for and where that payment features in relation to the transfer of federal budget funds from Baghdad to Erbil from the federal center in Baghdad. And until that agreement is made, Kurdistan oil is being prevented from export and is being sold locally. The extent to which the IOCs themselves are being allowed to participate in these negotiations, so it comes and goes, ebbs and flows. But when they are being consulted, they are listing a series of key conditions to an agreeable outcome that include the agreement such as it has to be tripartite and on agreeable terms for both governments and the IOCs. And the economic model of the existing KRI PSCs has to be honored. We strongly believe in the sanctity of our PSCs. And there has to be surety about past and future payments. What that means is an arrangement has to be put in place that allows us to recover the debts that we are owed, and the mechanism for payment going forward has to be reliable and predictable; it wasn't before, as you all know. None of this is confidential and new. I would direct you towards the press releases gazetted within the APIKUR website if you want to see the position of the IOCs who are part of the APIKUR trade association. But what's clear, I think, is that this isn't really a commercial or an industry issue. First and foremost, it's a complex political issue tied up with other complex political issues that the IOCs simply have no part of. It's primarily a political issue that politicians need to solve. Until then, we do what we can to help break the impasse and make sure that we act in a way and, importantly, position ourselves in a manner that's in the best interest of our shareholders. Right now, in terms of income generation, that means negotiating the best local sales deal that we can.
Luke Clements: Next question is, when will dividends resume? Is that one for me?
Paul Weir: Yes, you do that. Yes.
Luke Clements: Dividends are important to us. You can see here in the center of that triangle in the screen, it's what we're trying to build the business towards, which is a reinstatement of the dividend program. So to reinstate a dividend program, we need repeatable cash flows, resilient cash flows and ideally diversified cash flows. And that's what we are working hard to get back into our business, not only in Kurdistan, but also through diversification. We've lost over $100 million of cash from the export pipeline being shut. So a small free cash flow we've built this year is really balance sheet. It's really building our cash balance. It's really trying to find ways to get our capital to work and build our portfolio and diversify our cash generation. Those are the priorities of the business, and we set them out through this presentation. If we can make progress with those priorities, we would, of course, look back at the dividend decision pretty quickly or in the event we have surplus cash. So work to do, we're certainly focused on building a business that delivers a consistent, diversified, resilient dividend, but we are not there yet. Next question on -- the third theme is Somaliland. Please share an update on the operations, and what progress has been made since the last investor meeting? When will the projects resume drilling and perform the remaining activity to reach production?
Paul Weir: Okay, I'll take that one. It's worth bearing in mind, I think, that what we're talking about when we talk about Somaliland is a frontier exploration project. And it's always the case in an environment like this that the start to need to align in a number of aspects, both above and below ground, commercial, operational and geopolitical, to allow you to proceed. And the latter is particularly predominant in Somaliland this year for a number of reasons. We've seen a memorandum of understanding being signed between Somaliland and Ethiopia, which has ruffled some feathers in neighboring Somalia. We've got an ongoing conflict in and around Las Anod, which has not attracted the attention of the international media. Lord knows they've got sufficient other conflicts to report on, but the conflict around Las Anod is very real and it's very much there. And we've got upcoming presidential elections towards the end of the year, which introduces even more uncertainty into an already very dynamic situation. So for those reasons, we've gone into a position of relative pause certainly as far as field activity is concerned and consequently spend this year, other than the very successful CSR project that I mentioned during the course of the presentation where a very large number of people are getting very important medical support as a result of our program. So we continue to keep our eye on the bigger picture. We've been granted a license extension, and the opportunity certainly remains for those starts to align going forward. We've continued to work very hard sort of behind the scenes in addition to the team that we've established and maintained at Somaliland. We've got people in London working very hard to optimize the well delivery program to give us the best chance of success. It's impossible for me to put a date on when activities in the field will resume. But I think the message that I'd like to impart is that we have not lost our enthusiasm for the project, and we're doing what we can behind the scenes to give us the best chance going forward.
Luke Clements: Okay. Thank you. So we've got a question on the ITP. Is your view that Turkey will give the 1-year notice on the pipeline rather than defaulting to a 5-year extension with Iraq Central Government?
Paul Weir: I think it's -- well, I haven't spoken to anyone in the Turkish authorities about this issue. But from what we know, I think it's highly unlikely that the Turkish government would be happy for us to default into an extension of the license under current terms. I'm pretty sure that everybody is going to be keen to try and reestablish new conditions for a contract extension going forward beyond mid-'26.
Luke Clements: Thank you. A question here, with the debt maturity approaching, what is management's strategy towards refinancing the bonds? And what is the target time line for this? Is the M&A strategy contingent on addressing the bond maturities first?
Paul Weir: Both -- yes, you take the bond maturity piece, for sure.
Luke Clements: Sure. On the debt maturity, call price of the bond is currently [103]. We -- as Paul said in the presentation, we're currently paying under 4% of interest costs. So it's pretty low cost versus the call price to maintain the cash. Clearly, we're going to look to address that maturity in the coming months. We have various work streams ongoing at the moment to think about when and how we do that, but it's certainly in our mind. And when we look at M&A, which kind of rolls into the next question, we're very mindful of that bond maturity and how we deal with that, either through refinance or repay in a world where we've done an acquisition. So it's very much on our mind, we're very careful about it and we're going to step through it very carefully as we think about that bond maturity. There's a question here. Please provide some color on why G&A has increased by 25% year-on-year when all other costs appear to be falling. That's probably one for me. So principally, that's arbitration costs. We've been in a pretty intense and extended arbitration process, which means you need pretty good legal advice as you go through that, and that has impacted our G&A. And we believe that's the right thing to do to defend shareholder value and invest in protecting the value that we have locked up in those licenses for many years.
Paul Weir: Should we take the payment question? Do you want me to take that?
Luke Clements: I don't see -- yes, go for it. Go for it.
Paul Weir: How will management enforce payment from KRG in the event of a successful arbitration result? Well, of course, we're not taking a successful result for granted. But as you would expect, now that we are no longer entirely preoccupied with the evidential hearing, we have turned our mind to how recovery might be executed. And we've actually got our legal team in the second half of this year working up a recovery plan. I can't obviously talk about specifics, but there are measures that can be taken, and you only need to look at other instances of other oil companies who have been in dispute with their host government to see what those measures are. But we are, of course, considering all options for debt recovery. In the event that it's not forthcoming, we shouldn't take that for granted either, I guess. So we are preparing a plan. That plan is going to take a while, and the plan is going to have to be reviewed and endorsed by the Board. But our preparation work is underway. Nothing else? Interestingly, we seem to be getting some questions in Spanish, but I'm afraid my Spanish isn't up to answering any of those. But what we will do, as we always do at these things, is we're going to take these questions that we haven't addressed away, and we'll try and provide a suitable response where we can. I'd like to thank everybody for their attendance today. I'd like to thank you all for sitting through our presentation and for asking the questions. In closing, I just want to reiterate, I think, the key points from the presentation, which is that we have been through a consolidation process. We have established a resilient core. We have a great foundation for the business in Tawke, and we continue to work hard to pursue each of the catalysts that you've heard us mention in the last couple of presentations. And with luck, we'll be able to shed more light on success around those 3 catalysts when we convene again for our full year results presentation early next year. Thank you all very much.
Operator: Paul, Luke, thank you for updating investors today. Can I please ask investors not to close this session as you'll now be automatically redirected to provide your feedback in order that the management team can better understand your views and expectations. This will only take a few moments to complete and I'm sure will be greatly valued by the company. On behalf of the management team of Genel Energy plc, we'd like to thank you for attending today's presentation, and good morning to you all.